Operator: Welcome to the John Wiley & Sons conference call. Today’s conference is being recorded. Before introducing Will Pesce, President and Chief Executive Officer, I would like to remind you that this discussion will contain forward-looking statements. You should not rely on such statements as actual results may differ materially and are subject to factors that are discussed in detail in the company’s 10-K and 10-Q filings with the SEC. The company does not undertake any obligation to update or revise forward-looking statements to reflect subsequent events or circumstances. Mr. Pesce, please go ahead.
William Pesce: Good afternoon and welcome to Wiley’s second quarter conference call. I’m with Ellis Cousens. I’ll provide an overview, then we’ll respond to your questions. Since the beginning of the fiscal year, economic conditions have deteriorated around the world. To varying degrees, all of Wiley’s businesses and locations are being affected; professional trade the most, higher education the least. In this difficult environment we are pleased to report that second quarter revenue of $432 million and first half revenue of $834 million increased over last year by 2% and 3% respectively. Excluding the effect of unfavorable foreign exchange, revenue increased 5% for the quarter and 4% for the six months. Adjusted earnings per diluted share for the quarter is $0.67 advanced 14% over prior year or 26% excluding the effect of unfavorable foreign exchange. For the six months, adjusted EPS of $1.18 increased 17% or 26%, excluding the unfavorable effect of foreign exchange. Lower interest expense partly offset by a higher tax rate contributed positively to the earnings growth. Professional trade had a tough quarter as reflected in our revenue shortfall of 10% from last year’s strong second quarter excluding the unfavorable effect of foreign exchange. Scientific, technical, medical and scholarly revenue increased 12% on a performance basis. Higher education is having a solid year as reflected in the second quarter growth of 14%, excluding the unfavorable effects of foreign exchange. Based on year-to-date results, market conditions and leading indicators, we are cautiously optimistic that full year revenue growth will be in the mid single digits, excluding the unfavorable effect of foreign exchange. EPS is projected to increase approximately 20%, excluding the unfavorable effect of foreign exchange and tax benefits reported last year. We are monitoring retail sales during the important holiday season carefully. We’ll be in a better position to forecast full year performance at the end of the third quarter. With approximately half of Wiley’s revenue derived outside the states, the appreciation of the dollar will have a significant adverse effect on revenue and EPS growth in fiscal year 2009, particularly in the second half of the fiscal year. For the first half, gross profit as a percentage of revenue improved from prior year, the positive effects of the top line growth and favorable product mix and accounting adjustment in the prior year relating to Blackwell acquisition and pricing and higher education were partially offset by increased inventory provisions and lower sales in professional trade. Operating and administrative expenses for the six months of $436 million increased from the prior year by 3%. Operating income increased in the quarter and first half by 13% and 5% respectively, reflecting the top line growth and prudent expense management, partially offset by the unfavorable effect of foreign exchange. Expense growth for shared services was mainly technology related; that is, in support of the Wiley online library, Wiley Plus and various online initiatives. We successfully completed the first full quarter of operation of the combined Wiley InterScience and Blackwell Synergy platform. Wiley InterScience exceeded 1 million customer visits on a single day on September 22 which is a new record. Free cash flow improved by $22 million from last year reflecting the combined effects of lower receivables, reduced pension contributions, a $13 million income tax refund and lower interest payments, partially offset by delayed billings and renewals of calendar year 2009 journal licenses. We expect to be caught up with these billings and renewals by the end of the third quarter. Day sales outstanding were the same as last year. The reduction in deferred income tax benefits is related to Blackwell specifically pension contributions in connection with the acquisition. In the second quarter, the company repurchased 534,800 shares of its common stock at a cost of approximately $19 million. I’d like to provide some highlights regarding our core businesses, global scientific, technical, medical and scholarly revenue for the second quarter increased 7% to $254 million or 12% excluding the unfavorable effect of foreign exchange. The year-on-year growth was primarily driven by journals, with nearly every subject category increasing. Growth was reported across all regions, reflecting the positive effect of the combination of the Wiley and Blackwell STMS businesses. Also contributing to the year-over-year increase was a $6 million accounting adjustment related to the Blackwell acquisition that reduced revenue in last year’s second quarter. Year-to-date revenue of $494 million increased 7% or 8% excluding the unfavorable effect of foreign exchange. The aforementioned Blackwell related accounting adjustment reduced last year’s first half revenue by $12 million. Direct contribution to profit for the quarter advanced 11% over the same period of the prior year or 14% excluding the unfavorable effect of foreign exchange. The increase primarily reflects the top line growth and the aforementioned Blackwell related acquisition accounting adjustment. Direct contribution to profit for the first half rose 13% to $202 million or 15% excluding unfavorable foreign exchange. During the quarter, STMS signed new contracts with various societies to publish four new journals, renewed or extended contracts to publish eight journals and did not renew the contract to publish one title. Through the first half, STMS signed new contracts with societies to publish 21 new journals, renewed or extended contracts to publish 17 journals, and did not renew the contracts to publish two titles. Global professional trade revenue for the second quarter was $113 million, a 12% decline from last year’s strong second quarter or 10% excluding the unfavorable effect of foreign exchange. The decline in revenue was due to very difficult retail conditions affecting all publishing categories. The majority of the top line shortfall occurred in the US, despite strong October book releases. Sell-through and reorders through major accounts were weak. Fortunately, PT’s second quarter sales in Europe were up. Year-to-date revenue declined 8% to $215 million or 7% excluding the unfavorable effect of foreign exchange. Direct contribution to profit was $32 million compared to $41 million in last year’s second quarter, reflecting the top line shortfall and a $2 million bad debt recovery in the prior year, partially mitigated by continued expense savings and lower expected performance based compensation. Direct contribution to profit for the first half fell 22% to $52 million, or 20% excluding unfavorable foreign exchange. During the quarter, PT acquired 13 highly respected newsletters from LRP publications which focus on, while they also became the official publisher of the Graduate Management Admission Test Study Guides. Global higher education revenue advanced 11% to $64 million in the second quarter or 14% excluding the unfavorable effect of foreign exchange. The results were driven by strong performances in nearly every subject category and across all regions, except Asia, which was affected by the devaluation of the Indian Rupee. Revenue of nearly $3 million from recently acquired titles and the continued growth of Wiley Plus contributed to these results. The Australian school business experienced a soft quarter. For the six months, revenue grew 9% to $124 million. Higher Education’s direct contribution to profit advanced 17% in the quarter to $21 million or 22% excluding the unfavorable effect of foreign exchange. The increase reflects top line results and favorable product mix. Direct contribution to profit for the first half rose 11% to $40 million or 13% excluding the unfavorable effect of foreign exchange. Wiley Plus exhibited first half growth and billings of 48% over the comparable prior year period while the number of registered users in the US jumped 60%. As expected, usage levels reached new records. In Asia, the first Wiley Plus adoption is in South Korea and India occurred in the quarter with Malaysia, Taiwan and Thailand exhibiting exponential growth. At October 31, deferred revenue for Wiley Plus was $8 million, compared to $6 million at the same time last year. I’d like to provide my perspective about the first half results and the balance of fiscal year 2009. We are operating in a very challenging retail environment, mainly in the States, but also abroad. Clearly, market conditions are having an adverse effect on our PT business. In addition, the year-on-year comparison was affected by PT’s strong performance in the first half of last year. Based on available market information, we are either maintaining or increasing market share in PT’s key publishing categories. The strength of our brands and publishing programs, the professionalism of sales and marketing teams and the partnerships we formed with our major customers are serving us well in a tough environment. Obviously, the holiday season is important. We are in constant contact with major accounts, monitoring orders and inventory levels carefully. In STMS the journal business is holding up well; we are keenly focused on calendar year 2009 renewals which will affect top line performance for the January through April 2009 period. Advertising revenue and commercial reprint sales to corporate accounts have been adversely affected by market conditions. Higher education is performing very well, reflecting a strong publishing program and the success of Wiley Plus. We are geared up for the second semester business while monitoring student buying behavior. Throughout Wiley’s businesses we are managing expenses and cash as carefully as ever while investing in our future. For example, we continue to invest in the Wiley online library, Wiley Plus and other online initiatives. We continue to form new relationships with authors, societies and publishing partners. At the midpoint of the year I’m pleased to report that we are still projecting top line growth on a performance basis for fiscal year 2009. EPS growth is projected to be healthy on a performance basis for the full year. We are forecasting strong cash flow for the balance of the fiscal year. While I believe Wiley’s results on a performance basis are the most important indicator, I must emphasize that foreign exchange will have a significant adverse effect on Wiley’s reported financial results in fiscal year 2009, particularly in the second half of the year. In closing, I’d like to share excerpts from a message I conveyed to Wiley colleagues on October 10. A couple of weeks ago I hosted a meeting with a group of investors. As I was leaving my office that morning for the meeting, I took a quick look at the headlines in The Wall Street Journal. I decided to take the front page with me and began my presentation by reading some of those headlines which featured the largest bankruptcy in the history of U.S. banking, dramatic cutbacks in credit at a major financial institution, staff reductions in the auto industry and a journalist’s opinion that there were no good scenarios for the future. Then, I told the group that I believe we have many exciting scenarios for Wiley’s future as we pursue our noble mission of promoting knowledge and understanding around the world. So what’s happening? I believe many CEOs, certainly not all, have acted irresponsibly. I believe our government and politicians are more concerned about pointing fingers and offering sound bites than providing the leadership we need. I believe arrogance, greed and instant gratification have driven this behavior. Some leaders appear to have lost their morale compass. There is a leadership gap. That’s what I believe, for whatever it’s worth. Wiley has endured the War of 1812, The Civil War, Two World Wars, The Great Depression and the ups and down of many economic cycles and we will navigate through the current turmoil. We will do that by staying focused and picking our fights, by satisfying our customers better than the other guys, by investing and enduring relationships with authors, partners and each other, by managing our expenses and cash prudently, by protecting our culture and its inherent values and by following our morale compass as we continue to pursue this noble endeavor we call publishing. So what about our stock price? Please remember, we do not manage our stock price. We lead and manage our business. Ultimately, the performance of our business will be reflected in the value of our stock. There is absolutely no doubt in my mind about that and in case you’re wondering, the vast majority of my personal net worth is in Wiley stock and that’s exactly where it will remain during these difficult times. While I’m deeply troubled by recent events and saddened by the pain and suffering imposed on others by so called leaders, I am as excited about Wiley’s future as I’ve ever been. I’m grateful for your professionalism, commitment and support. You have my word that I will do everything within my means to sustain Wiley’s position as the place to be. That is the end of my October 10 message to Wiley colleagues. We welcome your comments and questions. 
Operator: (Operator Instructions) Your first question comes from Drew Crum - Stifel Nicolaus.
Drew Crum - Stifel Nicolaus: I wondered if I could start with foreign currency. You talked a little bit about that in your preamble. It detracted about $0.07 in the quarter and you’re projecting an adverse impact in the back half of ‘09. Should we expect a similar impact to what we saw in the second quarter where foreign currency essentially cut the earnings growth rate in half or should we expect further diminution in the growth rate?
Ellis Cousens: Drew, this is Ellis. That’s an incredibly good and complicated question to try and answer and it’s one that I’ve struggled with actually for several weeks now, since the dollar has pretty much appreciated by 20% plus across most currencies and it’s complicated. There’s going to be a little bit of a longer answer than you might have expected rather than a yes or a no or an absolute number or direction and I’ll tell you why it’s so complicated. One is, the mix of revenue that ultimately winds up down to the bottom line after cost of sales and direct expense and so forth. It has shifted from what it’s historically been for a number of reasons; one is, certainly professional trade is much weaker this year than it has been in the past and that would be typically lots of US dollar contributions that aren’t happening. STMS is growing nicely as is higher education and STMS this year and last year, but last year in a stable foreign exchange environment, this year in an unstable environment is much larger as a business today because of the acquisition of Blackwell, which as you know is a higher than average Wiley margin business. So its contributions to the bottom line from a revenue perspective are higher, proportionately than the rest of Wiley on average including higher Ed and professional trade. As you know we took on some additional expense associated with the acquisition of Blackwell in Oxford and also in the US, as well and in other areas outside the United States. So that adds to the complexity of that. We have some integration cost savings in Europe that we achieved over the course of the last I guess now 21 months or so. How does that factor into it? There’s another element of this that although maybe minor, I’m quite sure yet, is the functional currency for journals that’s changing beginning in November where formerly most licenses written outside the States were either US dollar denominated or Sterling. Some of those will now be denominated, while many of them still in dollars, certainly in Asia, but in Europe many will be denominated in Euros and certainly those that were formerly in Sterling in the UK will still be so, but there will be out of that more revenue that’s are non-dollar denominated. Not a big impact from a dollar perspective, but it adds complexity to what is now Euro and how the dollar moves against the Euro versus the dollar moves against Sterling. So if that isn’t confusing enough, it is what I’ve been struggling with to try and get a sense of, how will the second half look relative to the first half. In the first half, the dollar appreciated about 6% or so against Sterling and actually depreciated against on a average, meaning our weighted average, against the Euro, Canadian dollar and Australian dollar. Certainly that’s not where we ended the second quarter, but over the course of the first half of the year, that is the case. As we sit today, where the dollar is, not knowing where the dollar will go against any or all of those currencies, it’s now sitting around 15% to 25% stronger than all of those currencies, the least movement against the Euro, about 15%, but 20% plus against Sterling and those other currencies. It is just an impossible mix quite frankly, for me to try to figure out. I actually discovered that over the last several days. Every way I’ve tried to analyze this to come up with an answer, I found that it’s so complicated I can’t come up with an answer. I’d love to be in a position to plug in those numbers and push a button. We actually have a global planning system that we’re sort of midway in implementation but it’s not available to me today. So I really can’t answer the question in a precise way. Sorry for the long answer.
Drew Crum - Stifel Nicolaus: No, it’s okay. I appreciate the color. Maybe I can shift gears and ask you a question around pricing. You guys had talked about implementing a new pricing scheme for the scientific journals business beginning in 2009 I believe. The amount of increases that had been thrown out were in the 7% to 9% range. I wonder if those still hold true and then the follow-on to that, I think you guys were slightly more aggressive with pricing for the college publishing business, ahead of the fall semester. Are there opportunities to be as aggressive ahead of the spring semester?
Ellis Cousens: With respect to selling on a combined license basis, there are price increases associated with those licenses, as there are every year or just about every year. Certainly in the seven years that I’ve been here, there have been price increases every year. Again, price increases a function of a mix of real price increase and increased content and services. So it’s not purely price per se. There are some other factors associated with that. Nonetheless, those price increases are embedded in our renewals process today as those are being offered to customers directly through our direct sales force and through agents in their sales. Time will tell whether or not those price increases are pushed back upon by way of either cancellations or reductions in holdings and the like. So far, the indications we have, and it’s still very, very early, even though it’s the early part of December, is that for the most part that those price increases are sticking and customers are interested in our content at those levels. Probably a little bit more pushback in the US than there is outside but there is for the most part, those prices are in place and we’ll see how the renewal process goes through the balance of December which is an important period and importantly into January as we sort of wrap up for the most part that process. With respect to Higher Education, price increases this year were certainly higher than they were last year. You might recall, last year that we discussed a little bit of how we might have missed an opportunity there by not being as aggressive in pricing as many of our competitors were in the marketplace and in fact, we did move prices for the spring semester but albeit a smaller semester so we did lose some opportunity there in the fall semester. This year we have taken advantage of that opportunity and have seen some benefit related to that. That was alluded to, both in the Earnings Release and in Will’s comments.
Drew Crum - Stifel Nicolaus: But as far as the spring semester is concerned, looking ahead?
Ellis Cousens: No, nothing additional beyond what we’ve seen in the fall.
Drew Crum - Stifel Nicolaus: Okay, one last question and I’ll jump back into the queue. Just want to get an update on uses of cash for the company. You bought in some stock during the quarter and it seemed like a departure from how you had been using your cash in the past and just wanted to also get an outlook in terms of what you’re seeing or foreseeing in terms of de-leveraging going forward, given the changing interest rate environment?
Ellis Cousens: Drew, as you know, we’ve discussed over the past I guess it’s now 21 months that our principal focus in terms of use of free cash flow was to pay down debt on an accelerated basis. We continue to do that; we did see an opportunity with respect to our view, where the share price was over the last quarter, principally in the month of October, to buy back some shares at a price that was attractive both on an economic basis and on a P&L basis from an accretion perspective. So from both an economic perspective and a P&L perspective, it seemed like a better investment and certainly, arithmetically, from a P&L perspective we get better leverage to the bottom line with respect to share repurchases, about 180%. I mean, you can do the same calculation at a 6% borrowing rate. So it did seem to make more sense to do that. On a going forward basis, our priority has not shifted. It’s still to keep devoting most if not all cash to paying down debt; however, we do take view on share price and what opportunity that may provide with respect to what our cost of borrowed funds are versus what value we get from an economic perspective, investing in our own shares. We are relatively comfortable with our current level of leverage as you know and we’ve talked about it many times before. We’re now entering the peak cash generation period of this company and with respect to those journal receipts that we’ll be getting a significant remittance just past the mid-part of December and then significant cash flow coming out of those journal renewals throughout the third quarter and into the early part of the fourth quarter. So we’re in a good position relative to our total borrowings. We’re in good position with respect to our capacity to borrow if we needed to with respect to our revolving credit facility and we’re in a particularly good position with respect to the next several months with respect to incoming cash.
Operator: Your next question comes from Dave Lewis - JP Morgan.
Dave Lewis - JP Morgan: First question is, Ellis can you give me the cost growth, constant currency for the quarter?
Ellis Cousens: Not sure I understand the question.
Dave Lewis - JP Morgan: Wasn’t there an impact, a favorable impact on cost this quarter from currency?
Ellis Cousens: Yes. Yes, there was. Are you talking about the total operating cost?
Dave Lewis - JP Morgan: That’s right.
Ellis Cousens: Let me find that. In total, it was about $11.8 million or so, between $11 million and $12 million.
Dave Lewis - JP Morgan: Okay, and if you could just break down similar to I guess the prior quarters, the integration costs versus savings in this quarter. Obviously, part of it was currency but the cost number this quarter was very strong; obviously it came down significantly, so I’m trying to drill down into that number.
Ellis Cousens: Okay. There’s a number of factors that work with respect to cost savings, how money was invested last year versus this year in terms of integration spending, what was expensed versus what can be capitalized, but last year much of the effort, particularly in technology spending, cash expense related to integration activity, much of which could not be capitalized. So it was expense and as a part of our P&L last year and will have a lesser impact on a going forward basis in terms of depreciation expense. This year, particularly with respect to an investment that Will had mentioned, Wiley online library is beyond integration spending. That is now the next generation, if I can call it platform, application or whatever one wants to call it, that we will launch somewhere around mid calendar year 2009. That is investing in a new platform that is a new asset for the company that will provide significantly enhanced features and functionality and capabilities for our customers in the STMS business and much of that expenditure, which is occurring this year, is capitalize able and will be depreciated over the life of that asset roughly five years or so. So there is some of that going on, as what was expensed last year as integration spending. This year there is still additional integration spending, ongoing related particularly to supporting some of the journal’s fulfillment systems. That activity is in this year’s P&L and so there is some additional incremental investment in integration this year. I will say that there are net savings that you did see in the third quarter, a couple million dollars or so. So there are some net plus positive benefits. So we had shifted from last year and the first quarter last year being negative, first quarter being somewhat neutral, to this quarter being somewhat positive. As I’ve given guidance in the past, by the time we get to the last quarter of this year we will be through all of the integration activity. So from that point forward it will be benefits only and no incremental spending. Is that helpful David?
Dave Lewis - JP Morgan: Yes it is, thanks; just a couple more. Ellis, can you talk about the tax rate going forward? I mean, I think you said it’s going to creep up; that’s not immediate but in coming years but you’re still comfortable with the 27%, 28% range; it was slightly less than that this quarter, going forward.
Ellis Cousens : Yes. As you saw, the tax rate did creep up from the first quarter to the second quarter. Around 25% to 27%, let’s say 26% roughly where we are as we exited the second quarter; it holds pretty much for the balance of the year, so I don’t see a significant change there. One of the reasons for that has to do with that tax benefit that we get in the UK. Some of it related to lower interest rates, it being less valuable; some of it being related to foreign exchange. The tax shield there is worth less because Sterling is worth less in dollars today and some of it has to do with operating performance particularly in the professional trade business and the amount of earnings that go against that. So that benefit is worth a little bit less for the balance of the year than it was for last year and that will decline over time and have some volatility related to certainly foreign exchange fluctuations, profitability, earnings and profits in the UK and interest rates.
Dave Lewis - JP Morgan: Okay great and then Will I was wondering if you could just give a little more color on Wiley InterScience platform, the feedback you’re hearing from customers on that, the online capabilities, if there’s anything incremental there from the Investor Day?
William Pesce: Nothing new to report there other than the fact that one of the key milestones for us when we announced the acquisition, was to bring Wiley content and Blackwell content together and then to start offering combined licenses and access to our customers; so we have successfully completed that milestone. The next phase for us is what Ellis was referring to. That frankly we would have done without the Blackwell acquisition, so it was important to us anyway and now is I think even more important to us and that is to increase the functionality of the platform and that’s what we’re going to be re-branding as the Wiley online library and that we’re going to launch in the marketplace somewhere around mid calendar year of 2009 and so far, so good in terms of bringing all the content together and we’re in the thick of the next phase of enhancing the overall delivery. We do expect, once we’ve successfully completed that, to offer more value and more access to our customers and that should have a beneficial effect on revenues going forward, fiscal year ‘10 and beyond.
Operator: (Operator Instructions) Your next question comes from Allen Zwickler - First Manhatten.
Allen Zwickler - First Manhatten: Two questions; one, if one were to look at your textbook business today versus a year or two years ago, what percentage of the sales today are books, work books, online type materials, just in general, just to get a sense. The growth was so spectacular; I just wondered what the mix is these days.
William Pesce: This is Will, Al. I don’t know that I can give you a specific percentage, but what I can tell you and as I’m talking I don’t know if Ellis will be able to add to this, but let me just say the following. The way we’re selling Wiley Plus is the key story there and Wiley Plus can be acquired with a textbook, so a student can go in and actually acquire the print textbook and Wiley Plus; obviously the combination being at a lower price than if they bought the individual components separately or they can acquire Wiley Plus alone, without the print textbook. Wiley Plus does offer a digital version of the textbook along with so many other features and resources. So I think the way to think about this is we’ve basically gone from a business that was primarily print on paper textbooks, to a business that is a pretty good combination of both print and electronic that ultimately; and I can’t tell you exactly when this is going to happen, because I don’t know, but ultimately will be primarily in digital form. What I think we see happening and particularly during this last semester, is an acceleration of that trend; the acceleration of the trend toward accepting Wiley Plus as a teaching and learning tool. I would like to believe, although this is somewhat speculative on my part, that these kinds of economic conditions, when people are looking to enhance productivity, that learning tools and capabilities as offered through Wiley Plus, that we’ll be able to prove to professors and students that it does in fact facilitate teaching and earning and helps us do it more productively if you will than print on paper alone. So therefore I could easily imagine that these current economic conditions will result in an acceleration of that trend. At the end of the day of course, that depends on what professors advise students to do. We would, frankly, be quite pleased to see that acceleration because as I’ve spoken to you about this in the past, having Wiley Plus as an accepted means of delivery of educational materials, the cash return on investment, because of no inventory in the warehouse and the positive effect in terms of used books and some of the leaks in the Board if you will that we experience with print on paper textbooks; those are all positive for us as a publisher and as a business it’s also we believe positive for the professors in the classroom and the students who are learning the materials, because we think we can provide more features for less. About all I can tell you right now is that percentage that you are asking for, clearly it is increasing and the rate of acceleration is certainly getting faster and faster and that’s a good thing and it could very well be that these economic conditions are fueling that.
Allen Zwickler - First Manhatten: But you don’t want to hazard a guess as to what percentage, I mean, if it’s 10% or 50%, in terms of the sales in that segment these days?
William Pesce: Well, it would be more than 10 and closer to 50 but I can’t say.
Allen Zwickler - First Manhatten: Second question, just back to your 4X comment; Ellis, if I could corner you this way and if you don’t want to answer it, I could understand; if the dollar or whatever basket you’re referring to were to be exactly where it was at quarter end, the quarter that just ended, what would the effect of earnings be; do you have a sense of that?
Ellis Cousens : To be perfectly honest, which I was the first time through…
Allen Zwickler - First Manhatten: I mean, I don’t want you to go through the whole thing again, obviously. I’m just throwing it out hypothetical.
Ellis Cousens : The reality is I’m sort of not trying to dance around this. I really quite frankly, given that number of variables, against -- in any given year it’s difficult enough to predict how all of your businesses will perform in every single market. So that is difficult enough and we have plans about that, we provide guidance about that and as you should note from Will’s comments in the earnings release is that our guidance still holds, but given where foreign exchange has moved, kind of all bets are off with respect to foreign exchange. So just take it on a performance, meaning excluding the effect of foreign exchange, the guidance holds okay. That being the case, as I noted earlier, as we ended the quarter, so if I look at today’s rates, let’s just look at today’s rate, Sterling about $1.48, Canadian dollar, $0.80, Australian dollar about $0.66 against our full year weighted average rate, so I’ll put the ownership on you to try and figure out the methodology and if you come up with one, please give me a call and let me know what you’ve come up with; it’s that against last year’s full year weighted average rate or if you just want to look at the second half, imagine that for the second half. Our second half weighted average rate was around $2 against Sterling, was around $1.50 against the Euro, $1.00 Canadian and about $0.90 Australian. If you can figure out a way and please help me with that as to what the bottom line effect is given all of those variables with respect to where all of our expense and costs are, earnings and profits; where we have revenue growth, revenue decline, revenue flat, those kinds of shifts and variables, I’ve got to tell you, I’m unable to come up with an answer.
Allen Zwickler - First Manhatten: Okay, I’ll leave it. Just one and-a-half other quick questions. There wasn’t much mention of China on this call, how are you doing there, in the various segments?
William Pesce: There’s really not a whole lot to add there. The biggest effect is on our STMS business and that certainly continues I suppose and of course we also are generating revenue in our professional trade business and we’re looking at opportunities with Wiley Plus which we do think a technology solution in higher education in China is going to be the way in which we’ll penetrate that market over the long haul. I suppose the only possible update that is worth mentioning is we’re continuing to see and maybe I think it’s fair to say accelerating, is the number of papers that are actually or the research that’s being developed and the journals, articles that we’re accepting and publishing in our journals, the combination of both Wiley and Blackwell journals, that has been increasing and we think that’s a good thing. So the opportunity for STMS business in China is not only incremental revenue, but also the opportunity to publish the research that’s going on there and if I had to say what the new news is in recent months, I think that trend of publishing more research out of China.
Allen Zwickler - First Manhatten: Great job and just as a reminder, when you say you’re going to be up 20% versus last year, what is your base number that you’re using, Ellis, just so we can all be on the same page?
Ellis Cousens: 217.
Operator: Your next question comes from Drew Crum - Stifel Nicolaus.
Drew Crum - Stifel Nicolaus: Just a couple of other questions here. First, I wanted to get a number as far as the purchase accounting related adjustment from the third quarter of ‘08. You guys have disclosed $6 million in the last two quarters here. What was it last year in the third quarter?
Ellis Cousens: It’s about $4 million to go, it’s about $2 million a month. It only goes against the calendar year.
Drew Crum - Stifel Nicolaus: Right and can you give us an update with the pension contributions you’re anticipating for fiscal year ‘09? I believe it was $10 million and just given the change in the market here, I would presume you’re in an under funded position and just wanted to get a sense as to what you’re looking at, what you’re thinking as far as contributions and how that might impact the pension costs for fiscal year ‘10?
Ellis Cousens: Certainly pension expense next year will be higher, no question about that. In terms of contributions, it depends on first of all, the implied earnings rate and sort of what the pension actually is in terms of the implied earnings rate on the assets that are already in the plan over the longer term. Certainly, one year has some effect but how one takes a long-term view off of a one or however long this period of decline in equity markets lasts, is difficult to say at this point. I don’t anticipate this year at least, at the end of this fiscal year to have a significantly higher cash contribution than I would have had, all other things being equal meaning before the decline in equity values, we happen to be a little bit more heavily weighted in non-equity kinds of assets in the plans, so we do benefit from that a bit. We’re focused on actually moving more towards the weighting that was more equity balanced or more heavily weighted in equities. We’re actually now probably in a favorable position to do that under the thesis of “sell high and buy low.” So I don’t see a significant effect this year, although I don’t really know yet what that answer will be until I get close to the end of the fiscal year. Again, one has to take a longer term earnings view in terms of those pension assets as opposed to whatever this is, a big blip; it’s a big blip in terms of size, but how long it lasts and when it sort of kind of gets back to let’s say where it was or on an earnings path or a growth path again, it’s just difficult to say. So again, it’s another one of those calculations that has a lot of variables in it. Some of which move slowly and some of which moves not so slowly. The earnings assumption is one that moves relatively slowly and has a longer term prospect associated with it.
Drew Crum - Stifel Nicolaus: But as far as the contributions are concerned, is $10 million still a good number? Just want to get a sense as to how that’s going to influence or impact cash flows.
Ellis Cousens: I think it’s probably good to hold, to use a number like that.
Drew Crum - Stifel Nicolaus: And then just last question, you guys have secured roughly 80 to 90 society journal relationships over the course of the last year, so I just want to get a sense as to what has been recognized in revenue from those relationships?
Ellis Cousens: Meaning recognized thus far?
Drew Crum - Stifel Nicolaus: Yes. Through the second quarter of ’09.
Ellis Cousens: The answer is little to none. Most of those relationships roll off of their former publishers or those renewals happen a year to a couple of years before the current agreements expires. There’s a lot of transition related activity, set-up work and activities that go into moving a relationship from one commercial publisher to another. So there’s a fairly long lead time associated with those.
Drew Crum - Stifel Nicolaus: Could we expect some to hit the P&L in the third quarter of ‘09?
Ellis Cousens: I don’t think it would be material, but if there is, it would be small. I would say that for fiscal ‘10, yes.
Operator: Your next question comes from Dave Lewis - JP Morgan.
Dave Lewis - JP Morgan: Yes, just a couple of quick follow-ups. Can you provide a little more detail on the books and journals, the principle revenue synergies behind the acquisition, how those are trending?
Ellis Cousens: Dave, thus far, the principle synergies on the journal side at least will come from selling combined licenses in calendar 2009. So that’s a process that’s under way as we speak, as we discussed a little bit earlier on the call. That combined license is in part what gives rise to some of the pricing flexibility that we may or may not have. So that was a principal synergy associated with the acquisition that is being realized and hopefully being realized throughout calendar 2009 and going forward. We’ve discussed on past calls and I didn’t talk about it this time, but certainly it’s in this year’s results and going forward is, we got significant upside with respect to sales of books, particularly in Asia through our existing sales force there. As you may recall, Blackwell has a significant editorial presence in Asia, but didn’t have a significant sales presence in Asia. We in fact had both, but principally a significant sales presence. So there was almost immediate benefit from selling Blackwell books in Asia through our existing sales force. So those benefits are ones that are being realized over the course of the last 18 months and continue to be realized. On a going forward basis, some of the benefits will be with respect to back files in terms of journal content as we digitize more and more Blackwell back file content and will also come from continuing to digitize books to our online books program on the InterScience platform. Blackwell had little if any online books and we found that as a selling model, as a format. We have much greater opportunity for sales in an online environment with respect to books. So that will be a revenue synergy, once again at present in a small way but getting larger as we go forward. So both back files and books online are going forward opportunities, small now, getting larger as we go, a combined license in calendar 2009 and sales, principally in Asia of Blackwell books in the past, present and going forward.
Operator: We have no more questions at this time, so I’d like to turn the call back to Mr. Pesce.
William Pesce: Thank you very much for your support and interest and all of your questions. Best wishes to you and your family and friends for a happy, healthy and peaceful holiday season. Thank you.